Operator: Welcome to the Enova International Second Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this call is being recorded. I would now like to turn the conference over to Monica Gould, Investor Relations for Enova. Please go ahead
Monica Gould: Thank you, operator. Good afternoon everyone and thank you for joining us. Enova released results for the second quarter fiscal 2015 ended June 30, 2015 this morning. If you would like a copy of the release, you can access it on the IR section of our website at ir.enova.com. With me on today's call are David Fisher, Chief Executive Officer and Robert Clifton, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before David begins, I'd like to remind you that the information we are about to discuss today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. Factors that could cause these results to differ materially are set forth in today's press release and on Form 10-K filed with the SEC on March 20, 2015. Any forward-looking statements should be considered in light of these factors. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. Additionally, this presentation contains GAAP measures and certain non-GAAP or adjusted financial measures as defined by the SEC. Per SEC requirements you’ll find additional disclosures regarding non-GAAP measures, including reconciliations of these measures with U.S GAAP in our press release issued today. As noted in our earnings release, we have posed supplemental financial information on the IR portion of our website at ir.enova.com. And with that, I'd like to turn the call over to David.
David Fisher: Thanks, Monica, and good afternoon everyone. And thanks for joining our call today. I am going to start-off by giving a brief overview of the quarter, along with an update on our new business initiatives, before turning the call over to Rob to discuss our financial results in more detail. Overall, we are happy with the trajectory Enova is on, while our financial results for the quarter were a bit muted, we remain a very profitable company with numerous growth prospects, driven by the combination of strong execution of our existing businesses, as well as impressive progress of our new initiatives. For the second quarter, revenue of $146.3 million was slightly below our guidance, driven by a slower than anticipated recovery in our UK business, as well as currency headwind. However, despite the lower revenue, strong loan performance and controlled marketing spend resulting as leading our profitability guidance for the adjusted EBITDA of $41.1 million. These results demonstrates the resiliency of our business model, built on sophisticated advanced analytics and the flexibility of our proprietary lending platform. While improvement in the UK business was a little slower than we expected, we are very encouraged by the momentum we are seeing there. UK loan originations increased almost 20% sequentially in the second quarter and we believe that reduced competition, our strong regulatory compliance and our diligence in developing a solid relationship with the FCA all position us well for continued success there. Beyond UK, our diversification strategy and recent product introductions continued to exceed our expectations and look to be meaningful contributors to our future growth. The clearest example of this is NetCredit, our near-prime installment product in the US, which continues to grow at a very strong case. NetCredits revenue and loan balances for the quarter are both up over 150% from last year and the business will be solidly profitable this year. Importantly, over one third of the NetCredit loan portfolio represents loans with an ATR below 36%. To further accelerate the growth in NetCredit, our plan is to expand this business into additional state over the next couple of quarter, by establishing loan programs with a small number of banks. Under these programs, Enova provides marketing, processing and loan services to the banks. The banks may then sell some or all of the loans they originate to Enova or other purchasers. We believe this initiative which will focus on sub [ph] 36% ATR loans were large in NetCredit footprint over 40 states. We've also seen nice growth in our CNU [ph] installment loan product with the addition of two states this year, Texas and Ohio. These new products and NetCredits continue growth led to a 40% year-over-year increase in our US installment loan and finance receivables revenue. In addition, the combination of installment loans and line to credit now account for 67% of our total revenue and 79% of our total combined loan and finance receivables balance. Looking forward, we see the bulk of our growth coming from installment loans and lines of credit, as these products have been the majority of our focus. In addition to the success of NetCredit, all of our recent new product introductions and new initiatives involved installment loans or line of credit products as example. Turning to our new initiatives. All four of our pilots launched last year continued to perform well. This include On Stride, our near prime installment loan product in UK, our short-term installment loan products in Brazil, and medium-term installment loan products in China and Headway Capital, our small business line of credit offering in the US. The most fully developed of these four looked to be Brazil. We have significantly improved the unit economics for our Brazil products, driven by very low customer acquisition cost and declining default. While we are keeping the eye on the economy in Brazil, given these positive results we anticipate significantly expanding our efforts there. In China, we entered the market as the countries first online direct consumer lender and continue to see strong demand from growing tech-savvy, middle class consumers in China. For next step, we plan to fly for a national license there later this year, plus and 10 [ph] of those licenses have been granted today. So if you are successful in getting the license, we believe we will be in a very good competitive position. In the second quarter, we enhanced our small business offering with a tuck-in acquisition of assets of a company that focuses on purchasing future receivables of small businesses. This acquisition gives us an additional product to serve the needs of the small business community and significantly boost our expertise in small business lending. We believe the combination of this new product with our existing line of credit offering from Headway gives us a robust offering for small businesses in the US. In total, we plan to invest almost $20 million this year in the four new initiatives we launched since last year. We are cognizant that this is a significant amount of money, but it’s demonstrated by NetCredit, we have a track record of turning these investments into successful businesses that we believe can generate significant profitability in the next couple of years. Now I want to turn briefly to the ongoing CFPB rulemaking process. As you know, earlier this year the CFPB published and outlined proposals for regulating high cost short term loans, installment loans, lines of credit and other products. This outline was published in preparation for convening a small business advisory review panel to determine whether the proposals in the outline did have a significant economic impact on small businesses and not for profit. The small business panel report is not yet been made public, but there have been statements in the press from participants, indicating that based on some of the comments and data to the FDA advocate and CFPB staff communicating their concern that the CFPBs proposals would harm small businesses, would add significant additional cost without providing meaningful additional benefit for consumers. Since the CFPB review – we still outline, we have met them several time to discuss the proposal and we are voluntarily provided information and analysis to help ensure that the final rules reflect the realities of consumer credit needs and the credit market place. The CFPB staff is welcoming and supportive of these efforts and has engaged with our team to better understand the information we have provided. We hope that they will be able to use this information to develop effective rule that strike the right balance, between eliminating bad access [ph] and bad practices, while for reserving access to credit for under bank consumers. While there is not a lot of additional information regarding the substance of what the CFPB will propose, we continue to believe that the core of the CFPB framework will be built around ability to repay based underwriting. This plays firmly into our strength as the sophistication of our underwriting has long been a competitive advantage for Enova. In addition, the flexibility of our online platform gives an important advantage of the brick and mortar competitors who still make up a majority of the industry. We also believe that are recent experiences in the UK adapting to an enhanced ability to repay regulatory framework provide us valuable experience for a similar effort in the US. Lastly, in terms of timing, the industry continues to anticipate that the proposed rules will be published late this year, filing publications proposed rules there will be time of period powered by a CFPB response. Once the final rules are published there will be an implementation period of up to a year. This makes it highly and likely that the new roles will take it fast before 2017. Looking forward, we continue to believe there is a huge opportunity serving under bank customers. We are growing our existing businesses, successfully nurturing our new initiatives and building a pipeline of additional opportunities. And of course, all of this results upon the strength of our proprietary technology platform and advanced analytics capabilities. While there is currently lot of uncertainty regarding the substance of the CFPBs rulemaking, we made significant efforts to ensure that Enova remains successful. Our revenue is becoming more diversified by the day and we have strong practices, leading regulatory compliance and a deeper and more successful track records than anyone else of managing through substantial changes in regulations. As always, none of this will be possible without the tremendous team we have here at Enova. We have amazing people that are focused on continuing to develop our technology and analytics and introducing new products, which would drive sustainable long-term growth and profitability. Now I'll turn the call over to Rob Clifton, our CFO to go over the financials in more detail and following Rob’s remarks, we'll be happy to answer any questions that you may have. Rob?
Rob Clifton: Thank you, David, and good afternoon everyone. I will first review our financial and operating performance for Q2 and then provide our outlook for the third quarter and updated full guidance for 2015. Our second quarter results demonstrate the flexibility of our low fixed cost online business model and the success of prior investments in our platform. Adjusted EBITDA was inline with our guidance even through revenue came in slightly below our expectations. This level of profitability was driven continued strong gross profit margins, primarily due to stricter underwriting standards in the UK and lower operating expenses. Total revenue of $146.3 million in the second quarter declined from $201.5 million in the second quarter of last year. Domestic revenue which accounted for 78% of total revenue in the quarter rose 4% on a year-over-year basis to $113.4 million, driven primarily by the continued growth in our installment products which increased 40% over the prior year period. This strong performance was led by continued momentum in our NetCredit, near prime installment offering. For our CashNetUSA products lower combined loan balances at the beginning of the quarter and a delayed seasonal up-tick in demand moderated the domestic revenue year-over-year growth rate. Our rollout of CashNetUSAs installment loan product into two additional states and line of credit product into one additional state will contribute to a faster rate of revenue growth in the second half of the year. International revenue declined 65% on a year-over-year basis and accounted for 22% of our total revenue in the second quarter. The decline is primarily due to the changes in the regulatory environment in the United Kingdom that occurred after March 31 of last year. On our first quarter 2015 earnings release call, we stated our belief that UK loan origination levels in the first quarter had reached their lowest point, as a result of discontinuing the UK line of credit product in late 2014. And that we expected to see origination levels increase sequentially for the balance of 2015. As David mentioned in his remarks, we are encouraged by the continued momentum we are seeing in UK loan originations which rose 19% in the second quarter over the originations levels in the first quarter of 2015. In recognition of our growing investment in serving the financing needs of small businesses, our consume loan balances metric has been renamed loan and finance receivable balances. We ended the quarter with total combined loan and finance receivable balances outstanding of $400 million, up 1% from the $395 million in the second quarter of last year. Domestic loan balances were up 42% on strong growth from NetCredit installment loan portfolio, international loan balances were down 55% due to regulatory changes in the UK. To a lesser extent, the stronger dollar relative to the local currencies in the foreign markets we operate in contributed to the year-over-year decline in international balances. On a constant currency basis, international loan balances were down 51% on a year-over-year basis. Turning to gross profit margins. We continued to benefit from improved year-over-year loan performance. Second quarter gross profit margin for the total company expanded 478 basis points to 71.6% from 66.8% in the second quarter of last year. Gross profit margin in the US increased slightly to 64.6% from 62.4% in the prior year quarter. Our international gross profit margin was 95.8% in the current quarter compared to 69.7% in the same quarter last year. As have been the trend over the last several quarters, the increase in international gross profit margin was driven by stricter underwriting in the UK, as a result of the regulatory changes and the continued wind down of the UK line of credit portfolio. If we exclude the discontinued UK line of credit product from both periods, our international gross profit margin was 78.1% in the current quarter compared to 71.9% in the same quarter last year. As loan originations continued to increase in the UK, we expect gross margins to normalize and trend down for the remainder of 2015. We continue to expect our international gross profit margin to range between 65% and 75% in the second half of the year, depending on the level of loan originations and mix of new to returning customers. Total expenses declined 6% year-over-year, primarily driven by lower marketing spend in the UK. Excluding lease termination and relocation cost related to our prior headquarters location, general and administrative expenses were down 7%. This decrease was primarily due to lower incentive expenses and lower incremental standalone cost in the current quarter, compared to corporate service cost allocated from Cash America, our former parent a year ago. Adjusted EBITDA, a non-GAAP measure totaled $41.1 million in the second quarter compared to $61.3 million in the prior year quarter. Our adjusted EBITDA margin decreased from 30.4% for the second quarter of last year to 28.1% for the current year quarter. Our adjusted EBITDA calculation reflects an additional adjustment related to our headquarters relocation at the end of May. As mentioned a moment ago, we recorded a facility cease-use charge of $3.5 million upon vacating our prior office space in the current quarter. During the second quarter of last year, we exercised an option to accelerate the termination date for a large portion of our lease space and recorded a charge for $1.4 million. Our stock-based compensation expense was $2.2 million for the second quarter compared to $85,000 in the prior year quarter, which is before the spin-off in Cash America when our long-term incentive plans were cash-based performance programs. Net income totaled $10.9 million in the quarter or $0.33 per diluted share, compared to $30.6 million or $0.93 per diluted share in the prior year quarter. Adjusting earnings, a non-GAAP measure totaled $14.4 million in the quarter or $0.44 per share compared to $31.8 million or $0.96 per share in the prior year quarter. Our balance sheet and liquidity continue to be very strong. We ended the quarter with cash and cash equivalents of $96.2 million and we also had over $58 million of borrowing capacity on our credit facility. As David mentioned in his prepared remarks, we acquired certain assets of a small business financing company during the quarter. We funded the acquisition with $17.7 million from cash on hand and a issuance of $3 million of promissory note. With that, I would like to turn to our outlook for the third quarter of 2015 and the full year. As noted in our earnings release, in the third quarter of 2015, we expect total revenue to be between $165 million and $185 million and adjusted EBITDA to be between $35 million and $45 million. For the full year, we now expect total revenue to be between $650 million and $700 million, and adjusted EBITDA to be between $170 million and $200 million. Our full year outlook reflects a slower improvement in the UK market than originally anticipated and slightly lower loan balances for CashNetUSA to start the second half year due to the delayed seasonal increase. With that, I will hand the call back over to David for his additional remarks.
David Fisher: Thanks, Rob. And again thanks to everyone for joining us this morning watching the prepared remarks. We'll now open the call for any questions you may have.
Operator: [Operator Instructions] The first question is from David Scharf of JMP. Please go ahead.
David Scharf: Hi, good morning. Thanks for taking my questions. Dave, maybe we'll start with the UK, in some of the revisions to the outlook. First, can you talk about just the process and the level of involvement the FCA still has, not in terms of kind of oversight and enforcement. But are they still refining and providing feedback to you on ultimately what they are determination of ability to repay is, do you find yourself having to maybe still cut back further on the approval rates or is the slower outlook in the second half in terms of recovery more a function of demand?
David Fisher: Yes. I think the kind of core the ability you repay framework is largely in place. We haven’t gotten many significant comments from them there. Lately we did just wrap up our 166 review which we previously announced. And the last couple of phases of that went very well with a not a lot of significant comments from the reviewer. The comments that we do tend to hear from the FCA tend to be more around the fringes [ph] now, kind of some detail in the weeks are for on collections or for variances that kind of stuff. So I think the delay in the recovery was a little bit, are continuing to work to make sure our product was rock solid from a regulatory standpoint, so not wanted to step on the gas too fast over there. And then a little bit I think was just kind of seasonal, kind of little bit slower recovery to - in demand. But we did see a pick up in the second quarter as we announced that at the time, volume was up 20% during the quarter. We have seen a nice start to the third quarter as well. So we feel really good about our position there, both competitive, regulatory we're seeing the demand now which is kind of quarter or so slower pick up than we anticipated.
David Scharf: Okay. So to maybe paraphrase, this is more just sort of a delay in the pace of the recovery there, as opposed to any fall off in demand or any pressures on yield?
David Fisher: Yes. I think that’s right. We have not seen any major changes in kind of our – kind of the approval rates, the underwriting standards. Demand looks good in the UK right now, it looks very strong. And so again, kind of just a little bit slower ramping up as we are focused on regulatory compliance. But now we're feeling very good about our position there.
David Scharf: Okay. But it looks like you closed the quarter I mean, with balances in the UK not that far below Q1 levels. I mean, is it fair to say we should see revenue on an absolute - on a gross level, gross dollar level assuming constant currency sequentially improve a bit in the third quarter from the $32.8 million for international?
Rob Clifton: So David, keep in mind we did have when you factor out the line of credit continuing to line down, that dropped about $13 million in the quarter. So if you take that out, we did have and did see growth in the short term loan portfolio in the line of credit there in the UK. So that’s a positive and David commented, demand is up, that’s going to be a positive, I think the key is just how strong will that be because we're comping against last year, which had a lot of legacy loans in the portfolio that were originated before the changes, the regulatory changes. And so we're confident – the comp is rather tuff, but I do think that will build on revenue from here. But it looks more to be a 2016 story where we'll see the recovery really give us benefit.
David Scharf: Got it. And just to help us understand kind of the components of the top line shifts. In lowering the range by roughly $100 million to $130 million, I mean how much of that is the lower balances at CashNet here in the US versus the delayed recovery of the UK? You know, it looks like the international only had $80 million of total revenue in the first half and you still have the LOC running out. Is actually a maturity of the downward revenue guide related to CashNet?
Rob Clifton: I would say it is – its not – the majority is not related to CashNet. I think we were a little soft on CashNet revenue, but that was more due to the delayed recovery from the tax income tax season. So I think our prior guidance really was anticipating a much stronger recovery in the back half of the year for the UK and then also it was subject to the timing of ramping the new initiatives. So Q2 and Q3 are about building asset levels, and so just based on the current trends that’s the primary driver of why we took guidance down on revenue.
David Scharf: Got it. And then maybe just one more on another topic and I get back into queue. Could you expand a little on kind of where you are on this bank partnership sort of enter, I mean, are there a number of banks that are already signed up and maybe if you can give us a little sort of context on kind of the expected terms of those types of loans and ultimately your plans for funding levels?
Rob Clifton: Yes. So we're very fair down the path with several banks and expect to launch that program in late Q3 or early Q4. The product is the net credit kind of sub 36% installment loan product, kind of larger loans, longer terms, kind of looking at $5,000 to $10,000 loans, three to five year terms. I think funding levels are going to be meaningful, basically a large program we've seen how fast NetCredit has grown with just handful of states, couple handful of states they are in today. This expands their footprint pretty dramatically. And so we see as this ramps, you know, able to take several quarters for this program to ramp up. But as that ramps over the next several quarters we see meaningful origination volumes coming from this channel.
David Scharf: Got it. Thank you very much.
Rob Clifton: Yes.
Operator: The next question is from Henry Coffey of Sterne Agee. Please go ahead.
Henry Coffey: Good morning, everyone. Thank you for taking my questions. Just focusing on the UK a little bit, the revenue in the March quarter was international revenue was about what $47 million and then it declined. I just want to make sure I have the right numbers still about $33 million?
Rob Clifton: That’s correct, Henry.
Henry Coffey: And then the – and this is something I know you talked about in the March quarter, that you would see – because that you are giving little longer term, lower yielding as in this [ph] product, you would see the up tick in our originations than the up tick in revenue?
Rob Clifton: Yes.
Henry Coffey: So the 20% sequential growth is an origination number, and that all originations or just in the new products?
Rob Clifton: That’s all UK originations.
Henry Coffey: Okay. And then - so then moving forward, we should start to see a positive build in that $33 million figure based on - just then on the product lays out and how does your earnings start to come in, et cetera?
Rob Clifton: Exactly, yes, but do remember we did get a contribution from the UK line of credit in that $33 million. That we'll have to replace with - will be in the short term for installment revenue.
Henry Coffey: I know you put that stuff in that product mix stuff in the Q, can you give us a sense of what percentage of the UK revenue was the line of credit product?
Rob Clifton: It was approximately, I will give you the dollar amount, it’s approximately $6.6 million of the international revenue was from the discontinued UK line of credit product.
Henry Coffey: Now the whole flipside what you're doing in the US with this near prime product, looking forward as you're going to be working with banks, obviously in many cases the banks will want to hold the credit, we've seen that all with lending club. But to the extent that they want you to hold the credit, is this the kind of product that can have its own line of credit or ultimately be a item that you can securitize or how do you think about funding the growth of those longer term assets over time?
Rob Clifton: Yes. these are profitable assets that we could keep on our balance sheet, but there also we think not numerous channels for alternate funding sources if we desire. I think the securitization market today is wide open. We've seen that from other players in the space, public competitors like On Deck, to many private securitizations that you can see happening, today like from Opertune [ph] and others. There is also lots of home loan sale purchases going on for large hedge funds across the country. So there is a very rich market today for the high yielding assets. So we feel very good about the ability to kind of manage that growing portfolio.
Henry Coffey: And then finally, can you give us a sense of license you processed out, as you're fairly deep into it in the UK?
Rob Clifton: So we are six months in from when we filed our application. We believe our application is largely complete, which is a great position to be in the UK. The FCA is actively engaged in reviewing our application now. We believe we don’t have an exact timeline on completion. But we expect it to be done within the next six months.
Henry Coffey: Great. Thank you very much.
Rob Clifton: Yes.
Operator: The next question is from Mike Taiano of Burke & Quick. Please go ahead.
Mike Taiano: Great, thanks. Good morning. I guess just had a question on the US business, trying to reconcile sort of the difference in sort of the growth rates between loan balances and revenue. I know there is a lag factor, but I think you had north of 40% loan balance growth, but the revenue was only 4%. So can you maybe help me understand, is that just the function of mix, what are the primary drivers there. I know you talked about the CashNet balance is being down, but was that sort of the primary factor?
Rob Clifton: I think there is two primary factors running on there. One is the increase originations of longer term installment loans with larger balances, so that’s a big factor there. So a lot of it is mix. And then some of it is that lag, and so as the installment loans come on, you'll see kind of that gross profit increase over time, as that business becomes more profitable we get more interesting customers and more history with those portfolios.
Mike Taiano: Got it.
David Fisher: Mike, we also that increase in loan balances occur later in the quarter than it did a year ago.
Mike Taiano: Okay. So over time thought you would expect loan growth and revenue growth to more or less converge if those start to kind of season and catch up, is that fair?
Rob Clifton: As mix, if mix becomes more stable, and what we expect the near prime long-term installment book is significantly outpaced. The shorter term products, a long time to come. So you'll continue to see a little bit of that based largely on mix.
Mike Taiano: Got it. And is that – and when you say mix, is that more you're talking about the NetCredit product?
Rob Clifton: That’s exactly right. but even in the CNU loan book our installment loan product, the line of credit products were – its where a lot of the growth is coming from.
Mike Taiano: Got it. And so – and just kind of follow up on the NetCredit and sort of your initiative there with the banks. I am just trying to understand to the economics work there. And it sounds like there is – there would be some option in terms of who ultimately owns the loan or balance sheet for loans. But do you have effective ways the way you would you see it work, is that if you don’t end up balancing the one, you just basically get an origination fee, is that how it would work?
Rob Clifton: That is how it works. I think the economics for us a very good in either scenario. If we're just basically a processor obviously we get a paid a fee for leveraging what's largely a fixed cost platform. We have no capital commitment to that and so that’s a great price to be. To the extent we do end up buying a lot – a portion of these loans which is we expect that we'll buy a meaningful portion of these loans. The economics on these loans look larger like the economics on the rest of the NetCredit loan portfolio which are very good today, it’s a profitable loan portfolio. And so we're really happy with either outcome under this program. That’s the way we're structured.
Mike Taiano: Got it. And then I think you said that you invested $20 million this year in the four initiatives that you've spoken about. Does that run completely through the expense line?
Rob Clifton: Yes. the $20 million in the expense line, that doesn’t account investments in the loan book on the balance sheet. So that’s $20 million of it – of expense and that’s for the total year, that’s not so far this year. That’s our estimate for the total year. And again that we're able to certainly through significant amount of money, but we're still able to operate it very profitable business despite those investments. And as we've seen in the past while there was a launch in the UK back in the late 2000, 2010 or more recently a launch in NetCredit we feel very good about out ability to convert those investments into profits down the road.
Mike Taiano: Great. And then just last question on the UK business, you had talked about how much revenue you got from the line of credit product this quarter are the balances effectively close to zero at this point and just curios as to what you're successes rate has been in getting those line of credit customers to take on other products?
Rob Clifton: So we are down to approximately US$4 million on the line of credit in the UK, from a retention standpoint we're certainly converting some of those if they want a short term loan or an installment loan. Hopefully that pace will increase as those customers pay off that balance. So in that $4 million we still have a lot of customers with fairly small balances and once they pay it off then they are eligible if they would like - if they have a need we could serve them.
Mike Taiano: Thanks.
Operator: [Operator Instructions] The next question comes from Jeff Menapace with R.W. Pressprich. Please go ahead.
Jeff Menapace: Good morning, guys. Just a point of clarification, on you Brazil and China pilots, are you lending directly there or using third parties to start?
Rob Clifton: We are lending directly in both of those countries with our capital. In Brazil, we do have a funding partner similar to our CSO model here in the United States, but effectively we're doing all the underwriting and we're using all of our capital at the end of the day. In Brazil there is no funding partner. We are linking up directly with the banks and doing a directly.
Jeff Menapace: And that’s your expectation…
David Fisher: And that we're sharing funding…
Rob Clifton: In China, I am sorry, China the only difference we do have joint venture partner in China that we're 50-50 joint venture partners under funding. But that funding is all direct.
Jeff Menapace: Okay. And then you just mentioned the line of credit balance to UK is down at the $4 million when – how fast do you expect that to roll off?
Rob Clifton: It will essentially - will be gone by the end of the third quarter. We may have a little bit roll over. But it would essentially go in each quarter as we pass it, it’s less and less of a contributor.
Jeff Menapace: Right. And then just any thoughts on the delayed recovery from taxes and you mentioned in the US and I guess the UK as well?
Rob Clifton: Yes. The UK is not so much driven by the income tax refund season. But we – Q2 is quarter we typically see there is demand that come, kicks back in. We saw that occur this year about month later than last year, so that definitely had an impact. But as David commented, we're definitely seeing stronger demand at the end of Q2 and that’s continued so far into Q3. So that’s a positive.
Jeff Menapace: Okay. Any idea why it got off to a slow start this year?
Rob Clifton: That’s hard to say, I mean, maybe the economy for our customers is better, maybe their income tax refund lasted longer. But we're certainly in the typical seasonal demand right now.
Jeff Menapace: Okay. Thank you very much.
Operator: And next we have a follow up from David Scharf of JMP. Please go ahead.
David Scharf: Thank you. Yes, just a couple of questions on some of the US products. On installment, any sense for how many of your new customers or new borrowers are actually being converted from the single pay product, is there much overlap or are we seeing most of the traditional payday borrower’s kind of threat?
David Fisher: So there is not a ton of overlap. There is only a few states where we are able to offer them on top each other. We have not offered multiple products in multiple states, but most current state enabling regulation does not allow us to do that. The two big exceptions for that are Texas and Ohio where we have new installment products this year. I think its still too early to tell, ask us that question again next quarter and I think we'll have a much clear picture.
David Scharf: Got it. Got it. And then lastly, on NetCredit, obviously you've got the bank partnership, its – you're fastest growing line in the US. It’s obviously a fairly competitive area, you've got other online competitors, you've got store based installment lenders in that sub 36% range. Can you talk about how we should think about sort of customer acquisition cost going forward I mean, are there any kind of scale benefits here or is it just trying to understand ultimately, not only on risk adjusted basis, but on a post customer acquisition cost basis, how are we to think about the profitability of this line versus some of your products?
David Fisher: Yes. So let me start with that kind of the end more fast, right now we're seeing and our forecast shows EBITDA margins for this product in line with light of our other products. So we do think it can be long-term a very profitable product for us. In terms of the competitive environment, most of the competition today is from the legacy brick and mortar guys. And as we've shown with the short term products consumers greatly prefer the convenience and efficiency and that speed, privacy and security of the online products. And that’s where we think the big benefit is. There is not a kind of competition in the online space. Most of the – if you think about lending [indiscernible] their products, it tends to be prime, credit cards in the bank are very fine. So there is – there are few competitors, but not a ton, internally not many at all, only a couple of scale in the online space. And so that’s given us kind of nice open space to go in and be able to drive some meaningful volume. In terms of scale, that’s where the bank partnership really come in. There is a huge difference between being able to advertise in a couple handful of the states and advertise internationally, both in terms of TV wise and where there is tremendous efficiency to be able to – view national wise. But also in PPC and other channels you can get much good, you can get much, much more efficient by doing national purchases, as opposed to trying to do state-by-state and regional wise.
David Scharf: Okay. And to the extent that these consumers are mostly coming from the walk in you know, store based lenders. Can you remind us kind of what the average loan size is for NetCredit just trying to kind of compare it to what we see out of the Springleaf [ph] for example?
David Fisher: Yes. It’s kind of around the $4,000 to $5,000 range today and we see that growing. We continue to find abilities to push loan sizes which customers love. But yes, around $4,000 to $5,000 today. Again its 3 to 5 year installment loan.
David Scharf: Got it. Thanks very much, Dave
David Fisher: Yes.
Operator: [Operator Instructions] There no further questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Fisher for closing remarks.
David Fisher: Thanks again everyone for joining us this morning, getting up right early. We appreciate it. We thank you for your time and your questions. And we look forward to talking to you again next quarter.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.